Operator: Good day, and thank you for standing by. Welcome to the Comscore First Quarter 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, John Tinker, Head of Investor Relations. Please go ahead.
John Tinker: Thank you, operator. Before we begin our prepared remarks, I'd like to remind all of you that the following discussion contains forward-looking statements. These forward-looking statements include comments about our plans, expectations and prospects and are based on our view as of today, May 6, 2025. Our actual results in future periods may differ materially from those currently expected because of a number of risks and uncertainties. These risks and uncertainties include those outlined in our 10-K, 10-Q and other filings with the SEC, which you can find on our website or at www.sec.gov. We disclaim any duty or obligation to update our forward-looking statements to reflect new information after today's call. We will be discussing non-GAAP measures during this call to which we have provided reconciliations in today's press release and on our website. Please note that we will be referring to slides on this call, which are also available on our website, www.comscore.com, under Investor Relations, Events & Presentations. I'll now turn the call over to Comscore's Chief Executive Officer, Jon Carpenter. Jon?
Jon Carpenter: All right. Thanks, everyone, for joining us this evening. In the first quarter, we continued to make progress in the areas of our business critical to our strategy. We delivered another quarter of double-digit growth in cross-platform, coupled with strong results in local, which came on the back of key renewals and new business wins fueling double-digit growth versus the same quarter a year ago. In addition, we earned another accreditation from the MRC, this time for our demos as part of our Comscore TV measurement offering. For those keeping score, Comscore remains the only TV measurement solution in market that meets the MRC standards for both local and national TV measurement. No other measurement player in the market can say that, and I'm incredibly proud of the work our team has done to get us to this point. We also launched our cross-platform content measurement solution in January, giving clients an omnichannel view of how audiences are engaging with content regardless of where it's consumed, across linear, streaming, social or the open web, setting Comscore up as the one-stop shop for cross-platform audience insights and measurement. Since launching in January, we are already seeing client adoption and are encouraged by the pipeline that is emerging as we progress through the year. With regards to our operational execution, we have made meaningful progress in addressing legacy workflows and technical debt, which has allowed us to deliver for our clients with greater speed and less friction. Those efforts are also contributing to year-over-year improvements in our adjusted EBITDA. While I'm encouraged by the progress we are making, it's also clear we're operating in a macro environment that has become, at best, uncertain. That uncertainty has an impact, broadly speaking, on ad spend. And when the market is healthy, digital ad spend flourishes in part because it's easy to transact. That ease of transaction also makes it an easy thing to pause as uncertainty grows and advertisers exercise more caution with their spending commitments. As we progress through the first quarter, we started to see signs of advertisers in certain categories, taking a more cautious approach, which was a factor down the stretch in terms of our overall print in the quarter, specifically in our cross-platform solution group. As Mary Margaret will highlight, we have factored this into our view of Q2 revenues. And while our cross-platform products are performing well, we remain guarded with our expectations given the macro uncertainty that we're seeing. On the quarter, the revenue print was largely on track with the guidance we provided on our last call. Revenue of just about $86 million with double-digit growth in both cross-platform and local. We continue to make progress with our agency clients and the overall goal of driving greater adoption of our offerings, particularly for use in TV currency transactions. We expect that adoption to continue to ramp throughout the year. On adjusted EBITDA, I continue to be encouraged by the progress the team is making. For the quarter, the $7.4 million in adjusted EBITDA came in where we expected it to, up year-over-year, helping us get off to a solid start. As we look at the full year, on our last call, we talked about two key drivers for us this year: cross-platform growth and building on our strength in TV currency. We saw ample evidence in the first quarter of those things playing out. Within our linear currency business, we've seen continued engagement from agencies as they adopt Comscore as a currency for their campaigns. And across national and local TV, media buys transacted on Comscore currency helped drive solid results, particularly in local, and our team is working hard to make sure that continues. Within cross-platform, there are two key items that I'd like to highlight. As I mentioned earlier, the rollout of our Cross-Platform Content Measurement product has been encouraging, and it's clear that we're addressing an unmet need for our clients. Another item I'm excited about is an announcement we made yesterday, Comscore Certified Deal IDs made available in our partnership with Magnite. This offering leverages Comscore's trusted content rankings to deliver an automated curation solution that lets advertisers target independently vetted high-quality content and avoid wasted ad spend. While programmatic advertising has improved efficiency and targeting for advertisers, it has also created some challenges and frustrations for them. One of those frustrations has been paying for ads to run alongside low-quality or even made for advertising content, wasting ad dollars in the process. Comscore Certified Deal IDs alongside our AI-enabled predictive audience solution deployed inside Magnite helps advertisers run more effective campaigns and deliver a higher return on their ad spend. We're incredibly excited about these developments. And with that, let me turn it over to Mary Margaret to delve into the details of the first quarter. Mary Margaret?
Mary Margaret: Thank you, John. Total revenue for the first quarter was $85.7 million, down 1.3% from $86.8 million the same quarter a year ago. Content & Ad Measurement revenue of $73.2 million was slightly up from the prior-year quarter, driven by growth in our cross-platform and local TV offerings. Cross-platform revenue of $9.7 million was up 20.5% compared to the prior year, driven by growth in Proximic and Comscore Campaign Ratings, along with the rollout of Comscore Content Measurement. Syndicated audience revenue of $63.5 million was down 1.7% from the prior-year quarter, primarily driven by declines in our national TV and syndicated digital products from lower renewals. These declines were partially offset by double-digit growth in local TV due to higher renewals and new business in the quarter. Our movies business remained strong, generating $9.4 million of revenue in the first quarter, up 2.6% from the prior year. Research & Insights Solutions revenue of $12.5 million was down 11.5% from Q1 of 2024, in line with our expectations, primarily due to lower renewals and the timing of deliveries for certain custom digital products. Based on what we know today, we expect these revenue trends to continue in the second quarter and improve as we move into the back half of the year. On an FX-neutral basis, adjusted EBITDA for the first quarter was $7.4 million, up 2.8% from the prior-year quarter, resulting in an adjusted EBITDA margin of 8.6%. We remain disciplined in our spending and continue to take additional cost savings actions to operate more efficiently. This has allowed us to improve our adjusted EBITDA results for the quarter, even with lower revenue. Our core operating expenses in the first quarter were slightly down year-over-year, driven by a decline in data costs related to the amendment we entered into with Charter in December and lower professional fees compared to the prior year. These declines were partially offset by higher royalties and reseller fees, primarily tied to revenue growth in Proximic and our movies business. We're continuing to transform how we operate and are investing in new products and capabilities, which include enhancements to existing products, upgrading our tech stack, providing faster data delivery and increasing interoperability as we continue to roll out key integrations. Based on current trends and expectations, we believe our full year revenue for 2025 will be in the low end of the range we previously provided, which was $360 million to $370 million. As we noted on our year-end earnings call, there were a number of key areas we expected to drive growth in 2025, including the accelerated growth of our cross-platform products and the progress we're making with linear currency. While revenue from our cross-platform offerings showed solid growth in Q1, it did fall a bit short of our expectations due to ad spend softness in a few key categories, which we believe were related to recent trade policy developments. With the backdrop of macroeconomic uncertainty and the potential impact it might have on ad spend, we believe this guidance reflects a balanced view of our growth opportunities against the potential effects we might see as we move through the year. We currently expect revenue in the second quarter of 2025 to be in line with the first quarter and roughly flat compared to the second quarter of 2024, with revenue increasing quarter-over-quarter in the back half of the year. We're maintaining our adjusted EBITDA guidance for the full year with an anticipated margin of 12% to 15%. We continue to monitor the state of things, both within the industry and the broader economic environment, and we'll align our expectations and strategy as needed. With that, I'll turn it back over to the operator to open it up for questions.
Operator: Thank you. At this time, we will conduct the question-and-answer session. [Operator Instructions] Okay. Showing no questions, I would now like to turn it back to Jon Carpenter, CEO, for closing remarks.
 :
 :
Jon Carpenter: All right. Thank you. I'd like to recognize and thank our employees for their hard work to help Comscore deliver for our clients. Further, I'd like to thank our investors and clients for their continued trust and partnerships. Thanks for joining us this evening, and we'll be talking to you soon.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.